Operator: Good day, everyone and welcome to the Genesco Fourth Quarter Fiscal Year 2013 Conference Call. Just a reminder, today's call is being recorded. Participants on the call expect to make forward-looking statements. These statements reflect the participants' expectations as of today, but actual results could be different. Genesco refers you to this morning's earnings release and to the company's SEC filings, including the most recent 10-Q filing for some of the factors that could cause differences from the expectations reflected in the forward-looking statements made during the call today. Participants also expect to refer to certain adjusted financial measures during the call. All non-GAAP financial measures referred to in the prepared remarks are reconciled to their GAAP counterparts in the attachments to this morning's press release and in schedules available on the company's homepage under Investor Relations. I will now turn the conference over to Bob Dennis, Genesco's Chairman, President and Chief Executive Officer. Please go ahead, sir.
Robert J. Dennis: Good morning, and thank you for being with us. Joining me today is Jim Gulmi, our Chief Financial Officer. As usual, Jim's detailed review of the results has been posted to our website, along with the press release from earlier this morning. I'll begin today's call with remarks about our full year and fourth quarter results, our start to fiscal 2014 and our outlook for the year. Then I'll turn the call over to Jim for a review of the numbers and guidance. I will then return to provide some color on our operating segments before we open up the call to your questions. As you saw from our press release this morning, our fiscal 2013 performance was solid, with adjusted earnings per share up 24% to $5.06. This was achieved by a top line gain of 14% and meaningful expense leverage. As a reminder, we are now reporting a combined comparable sales number that includes stores and e-commerce, and that is the number we will be citing throughout our remarks today. For a more detailed breakdown of our comp performance, please see Jim's online review. For our fiscal 2013, comps were up 3%. From a strategic standpoint, we are very pleased with where the company is heading. During fiscal 2013, we executed well on the growth drivers we identified at this point last year. First, we accelerated Schuh's store opening schedule to take advantage of the business's momentum over the past year and the attractive real estate opportunities afforded by the weak economic environment in the U.K. Schuh's freestanding store count at year end was 79, up 23% over last year, including the third quarter addition of 3 Schuh Kids stores. Schuh's success comes despite challenging market conditions in the U.K. and gives us confidence that accelerating Schuh's store growth now will position us for additional gains when the economy eventually recovers. Second, we continued expanding our Lids Locker Room and Clubhouse concepts through acquisitions and organic growth. We added 12 net new Locker Room stores to a base of 78 in fiscal 2013 and 13 net new Clubhouse stores to a base of 41. We continue to believe the economics of this business benefit from scale, and we see continuing potential to grow these concepts by both acquiring and opening stores. Third, we continue to grow our portfolio of businesses in Canada. During fiscal 2013, we increased our total Canadian store count, 31%, ending the year with 127 locations. This included adding 15 net new Lids stores, 11 Journeys stores and 4 Johnston & Murphy stores. Fourth, we have been enhancing our e-commerce platform in a way that complements our brick-and-mortar locations and sets the stage for continued growth. Today, Journeys and Johnston & Murphy have an integrated e-commerce platform that allows consumers to search the entire chain's inventory position and purchase product online from within the store so that we never miss a sale just because we happen to be out of stock in a particular store. We expect Lids, which currently has in-store access to warehouse inventory-only, will add the capability to access the other store inventory no later than the fourth quarter of this year. We've also increased the number of styles available online in Lids and Journey, which also bolstered top line growth in fiscal 2013, and we have the opportunity to do more of that, especially at Lids. In aggregate our comparable e-commerce and catalog businesses grew 11% over the past year and 17% in Q4. Each of these 4 successful initiatives contributed to the 14% sales increase for the year. We believe we've entered the new fiscal year in the right position to continue expanding the market-leading positions of each of our major businesses, with each of these 4 drivers playing a continuing role. Indeed, we are planning to add even more square footage this year than last. Our confidence is boosted by the fact that we opened 104 new stores in the past year, and as a group, they are nicely ahead of budget. Reflecting our confidence in our ability to continue to deliver substantial increases to shareholder value, we continue to repurchase stock in the fourth quarter. Jim will give you the details on that. Turning to the fourth quarter, we saw an overall fourth quarter comp decline for the company of 2% on a 14-week basis compared to an 11% positive comp gain 1 year ago, reflecting a particularly challenging quarter for Lids, a slightly negative one at Journeys, and positive comps at Schuh and Johnston & Murphy. Despite this softness, we believe our fundamentals are still intact and many of the challenges reflected in recent comps are short term. February comps for the company also came in behind our expectations, down 9%. Along with the ongoing headwind at Lids, we believe that February results reflect 2 significant economic factors, the IRS delay in processing federal tax refunds and the increase in payroll tax withholding as a result of the fiscal cliff resolution at the end of last year. In recent years, we've experienced a sales boost within Lids and Journeys following the first wave of tax refunds in late January and early February, which, due to the IRS delay, has shifted later into the year. Based on IRS disclosures, the delay in tax refunds looks to significantly, but temporarily, reduced U.S. disposable income on a comp basis from the last 2 weeks of January through the first 3 weeks of February. While this hurt business beginning in the 53rd week through much of February, we saw improvement through the month as refunds were delivered with the final week of February coming in only slightly negative. We expect a brief tailwind in March as the IRS catches up to last year's disbursements. The new payroll tax increase, however, is permanent and provides headwinds to Journeys and Lids beyond just this month. So it is hard to sort out what our current trend really tells us right now, given these stacks factors, plus the impact of higher gas prices in the sequester. In addition, we expect continued challenges during the first half of fiscal 2014 for Lids, but we remain confident in our ability to deliver full year EPS growth of 10% to 12% over 2013 levels on top line growth of roughly 4% to 5%, with gains over last year expected to be weighted to the back half. Jim will now review financial results for the quarter and guidance for the year.
James S. Gulmi: Thank you, Bob. As a reminder, detailed information for the quarter has been posted online, so I will try to highlight a few important points in the reported results and focus in more detail on guidance for the new year. The fourth quarter came in slightly better than we expected when we last updated in January. Consolidated net sales were up 10% for the quarter to $797 million. The extra week in the quarter accounted for about 1/2 of that increase, but as I will mention later, it was a hard week for comps. Comps for Lids were down 10% for the quarter, reflecting a number of specific issues in headwear market that Bob will talk about in detail, as well as the general economic climate. Journeys' quarterly comp were negative due to the very soft 53rd week coming in at negative 1% for the quarter. The final week was a difficult one, especially for retailers that are sensitive to disposable income or mall traffic because of the tax refund delay that we call out in the January press release, which hurt both Journeys and Lids. Johnston & Murphy posted a 2% comp increase, and Schuh led the company with a 7% comp increase. The Internet and catalog business in each segment was strong, with comp increases ranging from 10% for Johnston & Murphy, all the way up to 27% in Lids. And each one outperformed its brick-and-mortar counterpart. Overall, our direct businesses were up 17% in the fourth quarter this year compared to a 4% increase last year. Operating income adjusted as described in the press release rose 10% to $82 million and was flat with last year at 10.3% of sales, thanks to 80 basis points of expense leverage. This improvement was achieved despite $0.11 per share of additional accruals in the fourth quarter related to Schuh's contingent bonus that is payable in fiscal 2016 under the acquisition agreement if they achieved certain performance hurdles. Because Schuh has continued to outperform expectations, the accruals related to this bonus have also exceeded expectations. At current rates, we expect to have the vast majority of the contingent bonus, which is capped to GBP 25 million accrued by the end of fiscal 2014. Lower bonus accruals in last year in most divisions under our normal annual EVA bonus plan contributed to the expense leverage. Our bonuses and the quarterly accruals for them are calculated using an established mathematical formula tied to changes in EVA from the previous year. They are highly leveraged performance providing automatic expense reductions when the business softens. The expense leverage made up for an 80-basis-point reduction in gross margin for the quarter, reflecting heavier promotion at Lids and changes in the sales mix in other divisions. All in all, we earned $2.16 per share for the quarter, adjusted as described in the press release, compared to $1.97 last year, a 10% increase. For the fiscal year, sales were $2.6 billion, an increase of 14% over fiscal 2012. Excluding the impact of the 53rd week, the sales increase for the year was 12%. Adjusted operating income was $197.1 million or 7.6% of sales compared with $160.4 million or 7% of sales in fiscal 2012. This 60-basis-point improvement in operating margin for the year was driven by 80 basis points of expense leverage, primarily bonus accruals and selling salaries. Gross margin was down 20 basis points from the previous year. This operating margin was achieved despite $0.35 per share of additional contingent bonus accruals payable in fiscal 2016 under the Schuh acquisition agreement. For the year, on an adjusted basis, we earned $5.06 per share compared with $4.09 last year, an increase of 24%. This compares to a 65% increase in fiscal 2012 -- or fiscal 2011. At year end, inventories were up 16% year-over-year compared with the sales increase in the fourth quarter of 10%. Inventory's per square foot were up 15%, leaving us with a little more inventory than we'd like, mostly reflecting the lower-than-expected sales. Much of incremental inventories in Lids, we are comfortable that this inventory can be carried forward without a lot of risk. We ended fiscal 2013 with $60 million in cash compared with $54 million last year and with $51 million in debt compared with $41 million last year. This debt includes $23 million of the remaining U.K. debt assumed in connection with the Schuh acquisition. We spent about $8 million in purchasing approximately 155,000 shares of stock at an average price of about $53.15 during the fourth quarter. Altogether, in fiscal 2013, we repurchased approximately 646,000 shares at a cost of about $38 million or $58.29 per share. We currently have about $58 million available to purchase stock under our board's most recent authorization. Fourth quarter capital expenditures were $18.9 million and depreciation was $16.6 million. For the full year, capital expenditures were $71.8 million and depreciation was $60.3 million. In addition, we spent about $10 million in the quarter and about $24 million for the full year on small acquisitions, related primarily to Lids Locker Room. Now a few comments on our guidance for FY 2014. On the last call, we gave some directional guidance for fiscal 2014. Now I would like to spend a few minutes providing more details around our expectations for the coming year. We continue to expect earnings per share growth in the range of 10% to 12%, with low-single digit positive comps. This puts our fiscal 2014 earnings per share guidance in the range of $5.57 to $5.67. This EPS guidance is subject to the same adjustments as in previous years, excluding impairments, which are of course, non-cash and other charges, which we expect to total about $3 million to $4 million pretax or $0.08 to $0.11 per share after-tax. Earnings per share guidance also excludes the ongoing deferred purchase price expense, which is expected to be approximately $11.6 million or $0.49 per share in fiscal 2014. The guidance does include the full year accrual for the Schuh contingent bonus built in the acquisition agreement, which we currently expect to be up to approximately $17 million or $0.55 per share in fiscal 2014. In developing this guidance, we used the following expectations. We are assuming comps, including direct sales, in the low-single digit positive range for the full year. We're expecting an overall sales increase of 4% to 5% for fiscal 2014. This is about 1% higher after adjusting for the 53rd week in fiscal 2013. Our plan is to open 155 to 165 new stores for the year compared to 104 stores last year. We are expecting gross margin to be down 20 to 40 basis points. We are expecting some leverage in expenses to the full year due to the reduction of bonus accruals. All of this results in an operating margin improvement of 20 to 40 basis points or an operating margin of 7.8% to 8%. Our tax rate assumption for the full year is expected to be approximately 37%. We are assuming average shares outstanding of approximately 23.8 million for the year. We have not included any stock buyback in this guidance. We are also expecting capital expenditures for the year of about $110 million to $120 million, and depreciation will be about $67 million. We expect to end fiscal 2014 with approximately 2,591 stores, an increase of about 8 -- 5% over the year that just ended. We are also forecasting square footage growth of about 8% in the new year. In terms of the quarterly breakdown for the year, I remind you that historically, we have had about 60% of our sales and 70% of our operating income in the back half of the year. And we expect fiscal 2014 to continue that pattern, and possibly, to be even more heavily weighted to the back half of the year, given the first half challenges at Lids and the slow start to the first quarter. Last year, our comps in the first quarter were 8%, in the second quarter were 4%, in the third quarter were 5%, and in the fourth quarter were negative 2%, so comparisons were toughest in the first quarter. In addition, we do expect some improvement in the Lids' comps after February for the rest of the first quarter, but we expect that it might be the second half before it gets back to solid positive comps. Finally, the second quarter ends 1 week later this year, so we expect to pick up some Back-to-School business and from the tax holidays in the second quarter that fell in the third quarter last year. Thank you. And now, I'll turn it back to Bob.
Robert J. Dennis: Thanks, Jim. I'm going to begin my review with the Lids Sports Group, which was the most challenging area of our business in the fourth quarter. The group's fourth quarter comps were down 10%, and we see 3 factors as the main drivers of the decline. First, NHL sales declined significantly because of the strike, and were off more than 40% for the quarter representing about 1.5 points of comp. Since games resumed in January, we have seen a nice recovery in the category. Second, we experienced the negative effects of the anniversary of 2011's St. Louis Cardinals' World Series victory. We were impacted heavily because we operate 7 St. Louis Cardinals Clubhouse stores. Cardinals sales were off a total of 50% in the fourth quarter compared to last year. And net of the pickup in San Francisco Giants' product, we estimate this reduced Lids comps by another 50 basis points for the quarter. The third and largest of Lids' primary challenges, the snapback hat remains. As we have discussed before, the tremendous popularity of these styles, plus the fact that they are much more easily merchandised than the fitted hats, in which we specialize, have led to increased headwear competition and effectively cannibalized other parts of our hat business. To date, snapback sales remain strong for us and for others. But like all fashion trends, we believe that snapback demand will moderate in time and with our market-leading position and a proactive merchandising approach, we feel good about our ability to capitalize on the next trend. We are using our merchandising strengths and our leadership in the market to showcase compelling new merchandise, especially within the fitted category, and initial reactions have been positive. Several of these new collections are exclusive to us. February comps for the Lids Group were down 11%, reflecting the income tax impact and the continuing snapback effect. However, the group's comps improved over the course of the month and were roughly flat in the last week. The Lids Locker Room and Clubhouse stores continue to grow both organically and through the tuck-in acquisitions we have made over the last several quarters. This quarter, we added 12 new Lids Locker Room stores and 1 new Clubhouse, bringing our store count for these concepts to 90 and 54, respectively. Each of these formats will be a significant growth driver in 2014 as we plan to open as many as 35 Lids Locker Rooms and 15 Clubhouse stores. Turning to the Journeys Group. Comps were down 1% in the fourth quarter, reflecting particular weakness in the 14th week, which again, we attribute primarily to the tax refund delay. As we anticipated, the rate of increase of ASPs continued to moderate in the fourth quarter as we anniversary the price increases from our vendors that began in the back half of last year. February comps for the group came in at minus 8%, once again reflecting the delay in tax refunds, as well as later-than-usual introductions of new products. For a combination of logistical reasons, we began showcasing fresh product in our Journeys stores slightly later in February this year than last year, which likely shifted some of our February sales into March. Our Shi by Journeys and Journeys Kids businesses, which were up 6% and 7%, respectively for the year, continue to be promising. In particular, the recent success of the Kids business has made us a bit more ambitious about expanding this concept in fiscal 2014, with current plans calling for as many as 20 new Kids stores this year. Including these stores, the Journeys Group currently plans to open a total of 55 stores, with 12 of them in Canada. This would give the group 36 stores in Canada or about 4% of its U.S. store base by year end, leaving plenty of opportunity to continue opening Canadian stores. Schuh had a strong fourth quarter, with comps up 7%. As we've said, we are taking advantage of increased availability of attractive retail locations and lower rents due to the recessionary environment in Schuh's markets. This helped us to open 14 net new locations, growing square footage by 12% in fiscal 2014. Our long-range outlook for Schuh remains positive, and we are currently forecasting 12 new Schuh and 3 new Schuh Kids store locations, representing freestanding unit growth and square footage growth of roughly 16% in fiscal 2014. February comps for Schuh were minus 11% against a gain of 15% in February, 1 year ago, on a pro forma basis. We believe this weakness comes from a combination of the U.K.'s challenging macro environment and this year's winter weather versus last year's spring-like February. Now for Johnston & Murphy. Comps increased 2% in the fourth quarter and decreased 1% in February. This business continues to benefit from the popularity of higher-priced dress shoes, contributing to a 6% footwear ASP increase in the J&M shops for the quarter. The J&M wholesale business was up 39%, led by men's dress shoes, which drove solid sell-throughs in our customer stores. This is not your father's Johnston & Murphy, is a phrase we've used before, but it has probably never been more appropriate, given the positive reception of several new product introductions that are helping take the brand in new directions. Recognizing the brand's innovative new platform, we are pleased to have recently learned that J&M's design team was awarded the 2012 Footwear Plus Award for excellence in designs in men's dress shoes. We opened one net new Johnston & Murphy retail location in the fourth quarter, and plan to open 15 locations, including 3 stores in Canada, in the new fiscal year. Of the shops planned for the year, 4 are our smaller airport concepts, a channel we do well in, but one in which we believe J&M is currently underpenetrated with only 15 locations. Finally, licensed brands, again, enjoyed solid sales growth, up 14% in the fourth quarter, ending the year with a healthy operating margin of 9.3%. So in summary, 2013's solid earnings demonstrate our ability to manage temporary challenges effectively while continuing to pursue our plans for longer-term growth. These plans reflect a wealth of exciting opportunities across all of our businesses, and they include expansion opportunities in existing markets for Schuh, Lids Locker Room and Clubhouse stores, Journeys Kids, as well as further penetration into Canada for several of our concepts and continuing improvement in e-commerce across the company. Our business fundamentals remain intact, and we are confident that our strategy provides the framework to deliver a successful 2014 and to achieve our most recent 5-year target for annual sales of $3.5 billion, with an operating margin of 9.5% by fiscal 2017. To close, I would like to congratulate the entire the Genesco team on its solid execution and delivery of impressive bottom line results in fiscal 2013. Your combined efforts over the past several years have demonstrated the high level of execution this organization is capable of achieving, putting the company in a great position for continued success over the long term. And with that, operator, we are now ready for questions.
Operator: [Operator Instructions] We'll first go to Steph Wissink, Piper Jaffray.
Stephanie S. Wissink - Piper Jaffray Companies, Research Division: A couple of questions here. If we look at quarter-to-date trend, if you could just quantify for us, maybe give us an insight into the sales mix shift that you saw at Journeys? And the effect of that on gross margin, how should we think about that here over the next couple of quarters? And then second question, Jim, I think you had talked about kind of the SG&A component that's related to incentives or bonus expense. As you're looking at the other core G&A expenses, is there any shifting happening in that line item that we should think about for the next 12 months?
Robert J. Dennis: I'll go first. On Journeys, I'm not sure what you mean by mix. The Journeys business continues to be driven by fashion trends that have been in place for a while. And so what we like about is it's a broad set of vendors that are important to us. It's a number of different styles, the athletic and surf-inspired styles. And then both shoes obviously important. Boots were important for winter again this year. As we move into spring, we landed spring goods, as we said, a little later than we did last year. And to be honest, Steph, with the weather we've had in February, it's a little hard to give an early read.
James S. Gulmi: And on the expense side, you mentioned the other items in SG&A. The 2 item -- 2 big items I called out, 1 was on the bonus accrual, which has provided us with a good deal of leverage, certainly in the full year, and especially in the fourth quarter. And we would expect some of that going forward. And there's nothing else major going on in the SG&A other -- nothing that we haven't talked about before. We're doing a great job, I think, in managing our selling expenses in our store. But a lot the question of whether leverage is a question of the comp sales. And we said before, that 2% to 3%, in that range, we think we can leverage sale. So if we fall below that level, which we did in the fourth quarter, then it's hard for us to leverage the other categories. But we made up for it in the fourth quarter because our bonus accrual was down. And so really, on the other -- other than the 2 items I mentioned, contingent bonus and Schuh contingent bonus, in the bonus accrual, there's really not much different going on -- nothing much different going on in the rest of the categories.
Stephanie S. Wissink - Piper Jaffray Companies, Research Division: Bob, if I could just ask a clarification. I think as I read through Jim's remarks from the online script, it is referencing product mix several times in relation to the gross margin for the Journeys Group. And maybe you could just provide some insight there, I think it'll be helpful for us to think about product mix margin if that's what this thing referenced.
Robert J. Dennis: Yes, that's what it is. And it was just the mix of the product that was being sold. Some of the categories were -- carry a slightly lower gross margin. It probably will continue for a short while for the next couple of quarters, it's nothing major. We're talking about very small movements in gross margin, 10 basis points or so. So, yes, it could continue for a while but again, it's driven by demand for individual brands and it just so happened in the fourth quarter, the mix was such that it did affect the IMO.
Operator: And we'll take our next question from Scott Krasik, BB&T Capital Markets.
Scott D. Krasik - BB&T Capital Markets, Research Division: Just a couple of questions. First, the $10 million that you referenced on small deals in the Lids Group, that sounds like a -- maybe a little bit more than what it typically is. And is that in fact the case? And if so, are you accelerating the strategy to roll up independent operators and could it be even more meaningful next year?
Robert J. Dennis: Scott, it's Bob. Hard to say. Yes, it spiked a little bit in the quarter. And I would expect it to continue to be spiky because if we find a regional group where it makes sense for us to get together with them, we will do it. We will be opportunistic. We're not working off of a quarterly plan because we don't want to force ourselves to do deals that we think don't make sense, and our other alternative is to just simply open stores. So we're going to add stores this year, and the market will tell us whether the mix is more heavily steered towards acquisitions or to open stores. And so we had a couple of ideas in the fourth quarter that caused it to be spiky. But don't read into that, that trend is going to continue.
Scott D. Krasik - BB&T Capital Markets, Research Division: What would be a situation where it doesn't make sense to acquire versus build organically, I guess?
Robert J. Dennis: The asking price is too high.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: That's fair. Okay. Then -- and usually, I guess, history showed with the hat business that sellers are probably better off than trying to keep a high price, is that fair?
Robert J. Dennis: Yes, I think, our ambition, as we've been very clear about, is to really create a national footprint and be the major player in this space. And so over time, we would expect that savvy -- and its happening, savvy operators recognize that and see that life might be better inside of the Lids brands. And so the great thing about it is that not only have we picked up some great properties, but we picked up some great people who are really good operators. But we make their ability to succeed easier. We give them distribution, we give them a web platform that they otherwise probably couldn't put together at their scale. We give them buying power in the marketplace. We give them access to product that's exclusive, that they otherwise may not get. And all those factors add up to an opportunity. So savvy operators see that and they call Ken Kocher and they say, "We would love to talk about how we might work together." Some of those come together in a deal, and some of them don't, some of them take time.
Scott D. Krasik - BB&T Capital Markets, Research Division: Okay. That's helpful. Jim, you called out Lids inventory, in particular, being a little bit high. You did take a hit there because of promotional activity. But you're not really guiding to a significant of a decline in 2013. So is it going to be lumpy and are you going to have some pretty big gross margin declines in the first half of the year as you close out that excess merchandise or what's your thought?
Robert J. Dennis: Well, one thing -- this is Bob first, then I will give it to Jim. In that business, one of the things that happened is the demand on snapback hats narrowed down to very specific SKUs, and so we both got clear in the parts of snapbacks that had actually slowed down. So that was just clearing slow-moving goods. And then to some extent, we had to get competitive with the rest of the market, so there was a bit of a reset in that category. And that's why you are starting to see some changes. Jim, you want to add more color?
James S. Gulmi: No. I think that as we get in the year, obviously, the promotions will be less, I would expect, as sales pick up in the back half of the year. But I don't see the trend getting worse than it was in the fourth quarter. Hopefully, we'll see some improvement going forward, but there will be some pressure on margins early in the year.
Scott D. Krasik - BB&T Capital Markets, Research Division: Were you on BOGO longer where you wanted to be in Q4? And is that the strategy then for the first half of the year to clear the inventory?
Robert J. Dennis: No, we weren't that much more promotional in terms of all-store promotions. We were targeted.
Operator: [Operator Instructions] We'll now go to Sam Poser, Sterne Agee.
Ben Shamsian - Sterne Agee & Leach Inc., Research Division: It's Ben Shamsian for Sam. Had a question on the inventory. What was the inventory on a like-for-like versus 1 week later. What was the inventory up on sort of the week-to-week?
James S. Gulmi: We don't have that number as of the end of the 52nd week. And that is a consideration and that could be part -- that is probably part of the reason why inventories were up greater than our sales. However, we still think that more of the increase is due to the reasons I laid out earlier, but we don't have it at the end of the 52nd week.
Robert J. Dennis: And the more important thing is we're comfortable with the inventory that we have. We're -- we got a little bit of Lids, which we've managed down for most of the store outside the fashion category, we managed that down with the receipts. Because, as we always said, the Yankee hat doesn't go out of style, you just rightsize the inventory. And across the rest of the chain, we're properly valued and we feel good about the inventory position that we're in.
Ben Shamsian - Sterne Agee & Leach Inc., Research Division: And can you help us understand sort of the revenue, on a quarter-by-quarter basis, sort of the ebbs and flows there because of the 53rd week and how -- you said you're going to have a later Q2 and a bunch of other things. So how can we kind of be able to streamline the quarters' revenues?
James S. Gulmi: Well, I think that, I can tell you, as we said, the 53rd week this year was not very strong. But ballpark, we said it added maybe a 1% to 1.5% to our sales for the full year. So then, obviously, you can break that out of the fourth quarter. I think that's an easy one. You can kind of get your arms around that. The one that we did call out was, again, that there's a later July close this year, so we pick up early August, the first week of August, which is Back-to-School sales, and potentially some tax holidays. So I think that there will be a switch between the first and second quarter, some sales switch from first to second.
Robert J. Dennis: Second and third.
James S. Gulmi: No, second and third, excuse me. Second and third, now -- excuse me now, second and third -- between second and third. And really, what I was getting at was that the relationship between the first and second, second is going to be stronger because we're picking up additional sales from the third quarter. So the second quarter is going to be stronger in relation to the first quarter.
Ben Shamsian - Sterne Agee & Leach Inc., Research Division: Got it. Okay. And then I'm sorry if I missed your commentary on Schuh. Why are the February sales there sort of weak there? I mean, the tax holidays, I'm assuming, don't have any effect there?
Robert J. Dennis: Yes, that's a good assumption. The 2 things that we called out on Schuh is first, the U.K. environment -- really 3 things, the U.K. environment has just been very difficult. And now there's whispers about a triple dip kind of recession. And so that's challenge #1. Challenge #2 for them is just simply the compares. Now if they didn't go comp with us in our comp numbers until we owned them for 1 year, which was in June, but when you look at their pro forma comp, which is really what they are going against, they were well into double digits throughout most of the first half last year and so they've got a comp comparison that is very challenging. And then finally, despite both the U.S. and the U.K. had a similar weather pattern in February, we both had winter this year, whereas last year, it was very spring-like. And so if you're set for spring goods, you really need the storms to clear and the sun to shine, and we haven't had that happen yet. So that's what we would point out. And also, just to point out also that February is a very small month. And so small changes in sales translate into pretty big percentages, so I'd just throw that out as a caution about the drawing too much into what's going on.
Operator: Moving on, we'll hear from Steve Marotta, CL King & Associates.
Steven Louis Marotta - CL King & Associates, Inc., Research Division: Jim, you mentioned, and if I didn't get this right, let me know, that performance-based comp related to Schuh in fiscal '14 is roughly $0.55, is that accurate?
James S. Gulmi: Yes.
Steven Louis Marotta - CL King & Associates, Inc., Research Division: And is that then...
James S. Gulmi: Let me just keep on going. That, when you say performance-based, there's really 2 bonus programs here. One is the normal EVA program and then the other is the Schuh contingent bonus. And that's really what I'm referring to.
Steven Louis Marotta - CL King & Associates, Inc., Research Division: What part is the contingent bonus, because that then goes away in fiscal '15? Correct?
James S. Gulmi: Right.
Robert J. Dennis: Contingent bonus, just to be clear, is that's the payment being made that we regard as purchase price because it is basically an additional payment for upside performance in the set 4-year period. And what was Jim was saying is that we are paying regular EVA bonuses to the team in England and Scotland, and that will continue beyond year 4. But as you're pointing out, this contingent bonus is a onetime thing. We add it all up at the end of 4 years, pay it and we're done.
James S. Gulmi: So to answer your question, yes, for the most part, it goes away this year. There's some of it next year. Part of it, it will be obviously driven by the performance this year. But we anticipate right now that for the most part, it won't go away, there'll be some payment next year.
Steven Louis Marotta - CL King & Associates, Inc., Research Division: What do you anticipate the delta there. So we take out EVA and it's just contingent and there'll be a little bit next year, is that $0.25?
James S. Gulmi: This year, we said that it's about $17 million or about $0.55. And if you look at the $17 million, it could be well below 1/2 of the next year, it could be $0.05, in that range.
Steven Louis Marotta - CL King & Associates, Inc., Research Division: Okay. I know when you purchased Schuh, you spoke about being able to read fashion trends a bit quicker as they tend to travel east to west, had that been the case? Can you give an 1 or 2 examples of that where Journeys was able to jump on a trend a little bit quickly because of the reads from Schuh?
Robert J. Dennis: When you say they go east to west, not necessarily -- if you look at the teen fashion business, at least lately, it has been more American-influenced traveling to Europe and the U.K. And so the examples would be more along those lines. Then it's not as if our -- the Schuh guys have visibility on it, they maybe get a little improved visibility. What our guys do probably more importantly in the collaboration that's going on is when we work with a lot of the major vendors, we are getting some more favorable treatment in form of special makeups, products that can make us exclusive in this market. And that's being carried over to the U.K. And so the team over there is getting lots of access to product that would only be available in a Schuh, S-C-H-U-H, store in the U.K. and that's probably one of the really big advantages.
Steven Louis Marotta - CL King & Associates, Inc., Research Division: I understand. Lastly, boiling everything down, I know you do not guide quarterly, but is there any expectations at all for a potential negative EPS comparisons in either the first or the second quarter?
James S. Gulmi: Well, you're right, we don't give quarterly guidance. But let me just give a little flavor here. We obviously started out February with a negative comp. And February could make up anywhere from 29%, 30% of the quarter from a sales standpoint. So it's, as I've said before, it's more of an important month than it has been in the past. So starting out the negative comp in February, we're all hopeful that as tax refunds begin to kick in March, we'll see some pick up there. We're not sure exactly what the other tax impact might be, the payroll tax. So we're really in uncharted territory right now. And so all we can say is that it's going to be a challenging first quarter. And that's about it. Now the second quarter is really a different story because that 1 week is incremental sales Back-to-School business, so we're hopeful that we, the second quarter, we're going to pick up a little bit there as a result of Back-to-School. But first quarter definitely will be challenging.
Robert J. Dennis: And if you look at the comps from last year, by quarter, they were 8, 4, 5 and minus 2, so we're up against an 8. And certainly, conditions in the marketplace have changed year-over-year.
Operator: [Operator Instructions] We'll now go to Mark Montagna, Avondale Partners.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Just a question about the debt. When can you pay off that U.K. debt? And is all the other debt that you have completely paid off, expect for the U.K.? And what level of cash are you comfortable with?
James S. Gulmi: Well, the U.S. debt is a revolving credit agreement, so we can pay that down whenever we want. The question is when to pay it down, maybe because you had that amount of cash but a certain amount of cash in the system and there's certain amount of cash in the U.K. So it was -- but we are totally flexible in terms of paying down the U.S. debt. The U.K. debt is, over the next 3 years -- over the next 3 years we pay it down. We have been accelerating some of the payments on that and we will continue to do that. But right now, it's about a 3-year maturity with amortization along the way.
Robert J. Dennis: And Mark, for tax reasons, we don't have any incentive to use anything other than our earnings in the U.K. for servicing that debt.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Okay. And then prior delay at Journeys, was that the only division with the delay? And then, was it a particular vendor, was exclusive product, can you just kind of explain why it was delayed?
Robert J. Dennis: Yes, I mean, there are some basic logistical stuff, first of, which relates to the warehouse. We did our audit of the warehouse at a different period and then we had to extend that effort because, remember last year, we consolidated the Underground Station stores with Journeys. We waited until after Christmas to consolidate the inventories and to bring them all on common SKUs. And that required both systems programming and physical movement of products in the warehouse. And so to make room for that effort, the team pushed things off. And then the last thing, if you think about it last year, Journeys came through holiday with very, very strong comps. And as they say, the shelves were bare. And so the team had to accelerate just to provide inventory for the stores. And then they got the benefit of having done that of a spring-like February. So that was sort of the perfect positive storm. This year, we still have a more normal year where you have some clearance to get through in January into early February. And so there was less physical space in the stores, and there was more of an effort to clear the remaining inventory. And so it's not as if we were late delivering. We weren't accelerating deliveries on a year-over-year basis, that's probably the better way to think about it. And yes, Journeys was the only one in that situation and it was very specific to those reasons.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Okay. And then Lids has been more promotional last quarter, what about in February?
Robert J. Dennis: Nothing too unusual. We're still having to make sure we're competitive in the snapback category, and we continue to make sure that we are not owners of snapback styles that are not in demand. It really has become a much more narrow business, Mark, in terms of the styles, with a huge emphasis on NBA. And so we had -- in particular, we had inventory position in college, that's NCAA, that slowed down, and so we've been making sure we're clear of that. Overall, when you look at snaps, we're in a very good inventory position over all in the sense that our percent of sales in the stores are much higher than our percent of inventory held. So it's very fast and we're making sure that we stay lean because we continue to believe that at some point, this will cool, and we want to be well positioned for that.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Okay. And then just lastly, what's your goal operationally for Lids Team Sports this year?
Robert J. Dennis: Lids Team Sports just -- we haven't talked a lot about it. We've been in investment mode. We're building some terrific capabilities for the team. We had hiccups along the way as we integrated the businesses that we had acquired, some unexpected disruptions. But we've got through that and we think it's now very nicely positioned for growth, both top line and bottom line. So it's not a meaningful contributor yet. But we expect this will be the year that it can really start to grow, and grow off of the space into the next 5 years.
Operator: We'll take our next question from Jill Caruthers, Johnson Rice.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: Could you talk about -- you briefly mentioned new product collection that you're doing to help offset the snapback weakness. Could you give a little bit more detail on that, maybe the timing of when we expect that to be in stores?
Robert J. Dennis: Correct. We'll give you a little bit of color but maybe not as much as you want. As you know, similar to Journeys, we're very sensitive to current trend information, competitively. That said, we've had 3 programs. They're all fitted. They've all landed in our stores. They're all in as we speak, they have arrived over the course of the last 2 or 3 weeks. So we have very thin information right now on sell-throughs, but what we have right now, we like.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: Okay. And then could you talk about -- you briefly mentioned the Underground Station conversions, given you've kind of set with the new store look for the first holiday, with the fully assorted assortment. Could you give us any initial takes on that performance?
Robert J. Dennis: Yes, the Underground -- the former Underground Station, now Underground by Journeys stores, they did very nicely. They continue to deliver what we had hoped for in terms of performance. We are looking at how we might further their differentiation from Journeys, that's a work in progress. The one thing that we learned from looking -- because we still look at them as a group separately, we know that they still trade with a demographic of households that are more challenged economically. And that shines a light on what this income tax return pattern has been. The Underground Stations within the Journeys world had been the hardest hit, and we're expecting them to have the biggest rebound in March. And so -- but we're very pleased with what has happened there. We continue to monitor the cannibalization. But general theme there is we think we're net ahead of the game in those malls where we have 2 stores. And as I said, the team is continuing to explore what the differentiation -- points of differentiation might be in the assortment. We know that we want Underground by Journeys to play older and maybe play a little -- still a little more off the street fashion theme, but that's a work in progress.
Operator: And we'll go to a follow-up question from Scott Krasik, BB&T Capital Markets.
Scott D. Krasik - BB&T Capital Markets, Research Division: Jim, I just wanted to clarify -- I have to go back to 2004 when Q2 sales were bigger than Q1 sales, was that what you said was going to happen this year?
James S. Gulmi: I didn't say necessarily that. I said, it will be big. The relationship, in terms of the first and second quarter will be, with the -- will not be as dramatic as it has been in terms of the falloff in sales between the second and first, and it potentially could be up to where it was, up to the first quarter. But my major point was that the falloff that you've seen in the last couple of years between the first and second quarter, you won't see that much of a falloff because of additional week. Now the reason that you had to go back that far is that there's been a gradual movement of tax holidays from July to August, and that has affected our July business. And what I'm saying now is because of the later week, we're going to pick up some of what we lost over the last couple of years. So, again, the major point is, the falloff in absolute dollar sales between the first in the second quarter will not be as great because we're picking up more business in July for the second quarter.
Scott D. Krasik - BB&T Capital Markets, Research Division: Okay, that helps. And then, Bob, your -- I mean it's a small sample for your direct sales or e-commerce sales were up 38% at Lids in February, they were up strong in Q4. Are these just off of really low bases? Or is there anything you're doing differently?
Robert J. Dennis: No, first of all, it's not off a low base. Lids has a pretty robust online business. We hired a great group of people to come in and help us do that about 6 months ago. They've hit the ground running real hard. We've gotten more aggressive with getting the site marketed around. The single biggest thing, factor structurally probably is the addition of inventory. Again, because Lids does not read the whole store base, a lot of our SKUs, which are fully distributed to stores, they are sort of in their run out, don't show up on the web. But we've been working hard to continue to add SKUs. So if you think about it, Lids was, and still to some extent, is known as the hack site. But what we are doing with Lids Locker Room and Clubhouse inventory, every time that we add teams and add breadth in the team, because we now have the retail store or the Clubhouse store, then we add the jerseys, the T-shirts, everything else. And so you can expect that Lids will just continue to migrate to be a all-things license sports site. And that will be a driver of business I think in several years to come. But that's a big part of what you see right now.
Scott D. Krasik - BB&T Capital Markets, Research Division: Is there an advantage to Clubhouse, specifically? I assume if they're not using you, they're using some sort of third-party GSI-type, PFS-type service?
Robert J. Dennis: Well, you've got to go by sport, we don't have access to baseball because it's all run by MLB.com but we run -- we have a relationship with the Jets, we have a lot of colleges. So we face off a lot of other sites and so I don't know the total count of URLs that we represent right now. But still the biggest driver almost all of that is lids.com.
Operator: Thank you. And that does conclude today's question-and-answer session. Mr. Dennis, I'd like to turn the conference back to you for any additional or closing remarks.
Robert J. Dennis: Just thank you all for joining us and we're looking forward to talking to you again in 3 months.